Executives: Peter Henrici - Senior Vice President, Corporate Communications and Corporate Secretary Gerald Paul - President and Chief Executive Officer Lori Lipcaman - Executive Vice President and Chief Financial Officer
Analyst: Steve Smigie - Raymond James Sameer Kalucha - JPMorgan Shawn Harrison - Longbow Research Jim Suva - Citigroup Matt Sheerin - Stifel Nicolaus
Operator: At this time, I would like to welcome everyone to the Vishay Q4 2012 earnings call. (Operator Instructions) Mr. Henrici, you may begin your conference.
Peter Henrici: Good morning, and welcome to Vishay Intertechnology's fourth quarter 2012 conference call. With me today are Dr. Gerald Paul, Vishay's President and Chief Executive Officer; and Lori Lipcaman, our Executive Vice President and Chief Financial Officer. As usual, we'll start today's call with the CFO, who will review our fourth quarter and year 2012 financial results. Dr. Paul will then give an overview of our business and discuss operational performance as well as segment results in more detail. Finally, we'll reserve time for questions-and-answers. This call is being webcast from the Investor Relation section of our website at ir.vishay.com. The replay for this call will be publicly available for approximately 30 days. You should be aware that in today's conference call, we will be making certain forward-looking statements that discuss future events and performance. These statements are subject to risks and uncertainties that could cause actual results to differ from the forward-looking statements. For a discussion of factors that could cause results to differ, please see today's press release and Vishay's Form 10-K and Form 10-Q filings with the Securities and Exchange Commission. In addition, during this call, we may refer to adjusted or other financial measures that are not prepared according to Generally Accepted Accounting Principles. We use non-GAAP measures because we believe they provide useful information about the operating performance of our businesses and should be considered by investors in conjunction with GAAP measures that we also provide. This morning, we filed Form 8-K that outlines the various variables that impact the diluted earnings per share computation. On the Investor Relation section of our website, you can find a presentation of the Q4 2012 financial information containing some of the operational metrics Dr. Paul will be discussing, as well as a presentation on Vishay's growth plan. Now, I turn the discussion over to Chief Financial Officer, Lori Lipcaman.
Lori Lipcaman: Thank you, Peter. Good morning, everyone. I am sure that most of you have had a chance to review our earnings press release. I will focus on some highlights and key metrics. Vishay reported revenues for Q4 of $531 million, slightly above the midpoint of our guidance. Revenues for the year were $2.2 billion with an operating margin of 8.5% and an adjusted operating margin of 7.9%, excluding the gain on the sale of our property in Belgium, vacated as part of our past restructuring activities. Our operating income was as we would expect at these low revenue levels according to our business model. EPS for quarter four of $0.14 included a one-time tax benefit of $4 million. Adjusted EPS for quarter four was $0.11. EPS for the year was $0.79 and adjusted EPS was $0.71. Vishay generated free cash of $40 million in the quarter and $147 million in the year. Revenues in the quarter were $531 million, down by 7.4% from pervious quarter and down by 3.8% compared to prior year. Gross margin was 20.5%. Operating margin was 4.1%. EPS was $0.14. Adjusted EPS was $0.11. In quarter four we recorded a one-time tax benefit of $4 million, related to the release of a valuation allowance on a deferred tax asset in Israel. A merger of several of our wholly owned subsidiaries in Israel will allow us for the realization of these tax benefits that likely otherwise would have been foregone. Reconciling versus prior quarter, operating income quarter four 2012 compared to operating income for prior quarter, based on $42 million lower sales, or $48 million lower excluding the exchange rate impact, operating income decreased by $23 million from $45 million in quarter three 2012 to $22 million in quarter four 2012. The main elements were: average selling prices, which had a negative impact of $9 million, representing a 1.6% ASP decline; volume decreased with a negative impact of $17 million; and lower fixed cost had a positive impact of $2 million. Versus prior year, operating income quarter four 2012 compared to prior year adjusted, based on $21 million lower sales, or $14 million lower excluding exchange rate impacts, operating income decreased by $12 million from $34 million in quarter four 2011 to $22 million in quarter four 2012. The main elements were: average selling prices, which had a negative impact of $29 million, representing a 5.4% ASP decline; volume increased with a positive impact of $14 million, $7 million coming from our HiRel acquisition; variable cost decreased with a positive impact of $4 million, $3 million coming from lower metal prices; the fixed cost reduction of $6 million was offset by the acquisition related fixed cost. Comparing 2012 versus 2011, adjusted operating income for the year 2012, based on $364 million lower sales, or $309 million lower excluding exchange rate impacts, operating income decreased by $175 million from $352 million in 2011, to $177 million in 2012. The main elements were: average selling prices, which had a negative impact of $82 million, representing a 3.7% ASP decline; volume decreased with a negative impact of $99 million, $129 million excluding acquisitions; and fixed cost reductions of $23 million was offset by the acquisition related fixed cost; and exchange rates had a positive impact of $9 million. Selling, general and administrative expenses for the quarter were $87 million and $350 million for the year. This compares to $368 million in 2011. Acquisition related increases were offset by favorable exchange rate impacts, while we reduced our existing base by $70 million. For the first quarter of 2013, our expectations are approximately $90 million of SG&A expenses. The tax rate for the year, excluding unusual items was 29.4%, due to exchange rate impacts. This is lower than the rate used year-to-date September. The related catch-up resulted in quarter four tax rate of negative 2.6%. The GAAP tax rate, which includes a tax impact of the gain on the sale of our property and the release of a differed tax asset allowance, was 27.4% for the year and a negative 26.8% for quarter four. We expect our tax rate for 2013 to be approximately 30%. This rate is based on an assumed mix of income among our various taxing jurisdictions. The shift in income could result in significantly different results. Total shares outstanding at quarter end were 143 million, the same as at the end of quarter three. The expected share count for EPS purposes for the first quarter 2013, based on average stock price of below $12 is approximately at 150 million shares. For a full explanation of our EPS share count and variables that impact the calculation, please refer to the 8-K we filed this morning. Cash flow from operations for the year was $287 million. Capital expenditures for the year were $150 million, with approximately $77 million for expansion, $17 million for cost reduction and $56 million for maintenance of business. Proceeds from the sales of property and equipment were $10 million. Free cash generation was $147 million. This compares to $210 million, prior year. Vishay has consistently generated an excess of $100 million free cash in each of the past seven years. Cash flows from operations were greater than $100 million for the last 18 years and greater than $200 million for the last 11 years. Backlog at the end of quarter four was at $506 million or 2.9 months of sales, historically a very normal level for Vishay. Inventories decreased quarter-over-quarter by $21 million or by $24 million excluding exchange rate impacts. Days of inventory outstanding were 90 days. Days of sales outstanding for the quarter were 45 days. Days of payables outstanding for the quarter were 31 days, resulting in a cash conversion cycle of 104 days. We had a total liquidity of $1.4 billion at quarter end, cash and short-term investments comprised $993 million, and unused capacity on the credit facility was $431 million. The breakdown of our debt of $393 million was $89 million outstanding on our credit facility; $95 million of exchangeable unsecured notes, due in 90 years; $209 million of convertible debentures, net of unamortized discount issued in three tranches and due in 28, 29 and 30 years, respectively. The principal amount of face value of the converts is $575 million. No principal payments are due until 2015. Now, I will turn the call over to our Chief Executive Officer, Dr. Gerald Paul.
Gerald Paul: Thank you, Lori, and good morning, everybody. The year 2012, for Vishay, like for the entire electronic components industry has been a rather difficult year due to substantially deteriorating market conditions in the second half. We achieved in 2012 a gross margin of 24% of sales and adjusted operating margin of 8% of sales, adjusted earnings per share of $0.71 and GAAP earnings per share of $0.79. We generated, as Ms. Lipcaman said, $147 million free cash, and I think we can state that we continued our good performance of many years. The fourth quarter as foreseen turned out to be the weakest quarter of the year. We reached a gross margin of 21% of sales, operating margin will 4% of sales, adjusted earnings per share of $0.11, and GAAP earnings per share of $0.14. Let me talk about the economic environment. After a quite promising start, the year 2012 after June suffered from a negative outlook, especially in Asia. Asian distributors held back in view of an anticipated weakness in the consumer markets like television, notebooks, handsets and gaming. Following Asia, in the course of the third quarter, most of our other markets started to decline. There were broad anxieties for the macro economy in view of unresolved problems concerning the Euro, and weak growth perspectives in particular for Europe. While this had a substantial impact on the European industrial market segment, whereas automotive in general remained relatively strong. In contrast to Europe and Asia, the U.S. market in 2012 remains fairly stable. The distribution turns in the fourth quarter decreased slightly from 3.2 on a worldwide basis, vis-à-vis 3.4 into third quarter to 2.3 in the Americas versus 2.4 to 3.1 in Europe as compared to 3.5 to 4.5 in Asia versus 4.7. All this, despite the fact, that POS was down by 9% versus Q3. Distribution inventories continued to reduce by 5% versus the third quarter, and book-to-bill of distributors during quarter four turned to positive. The continued strength of automotive, decent inventory levels in the supply chain and the higher degree of confidence at distributors may indicate an upcoming turnaround. We have seen orders in the fourth quarter exceed orders of prior quarter and of prior year. And let me emphasize, January was quite promising with a book-to-bill of 1.14. Our business development, sales came in well within our guidance. We achieved sales in the fourth quarter of $531 million, vis-à-vis $573 million in prior quarter and $551 million in prior year, when you exclude HiRel, our acquisition. Excluding exchange rate effects, sales were down versus prior quarter by $48 million or by 8%, and versus prior year by $14 million or by 3%. Sales in 2012 were $2.22 billion versus $2.59 billion in 2011, which is $14 million below prior year, excluding exchange rate effects and acquisitions. Book-to-bill in the quarter was 0.95; 1.0 for distribution; 0.9 for OEMs; 0.97 for actives; and 0.93 for passives. 1.02 for the Americas; 0.91 for Asia; and 0.96 for Europe. Our backlog is stable at 2.9 months, equally for actives and passives. Order cancellation rates remained at a very normal level. We have seen substantial price pressure in the commodity part of our business in Q4, minus 1.6% versus prior quarter, and minus 5.4% versus prior year. In particular, this happened at actives, minus 2.4% versus prior quarter, and minus 8.3% versus prior year. We also have seen some impact at passives, minus 0.7% versus prior quarter and minus 2% versus prior year. Some highlights in terms of operations. In 2012, our cost reduction and product innovation were not completely able to offset the increased pricing pressure. The contributive margin shifted to the lower end of our traditional range between 46% and 48%. SG&A cost continued to be well under control, $87 million in the quarter as expected, $350 million in 2012, which is $17 million below prior year at constant exchange rates and excluding acquisitions. Manufacturing fixed cost in 2012 were $473 million, a reduction of $7 million year-over-year at constant exchange rates and excluding acquisitions. The total employment that we see at the end of 2012 was 21,650 people, which is a reduction of 1% in the quarter and of 2% during the year, excluding the effect of acquisitions. Our fixed cost personnel as part of it was slightly up, but exclusively due to our increased efforts in engineering. Since December 2009, we have increased our technical staff by 17%, according to our growth plan. We are in process to expand our sales organization in Asia, namely in China. We have hired approximately 50% of the target additional headcount. Inventory turns in the quarter respectively and the year, reached 4.0, respectively 3.9. Excluding exchange rate impacts, inventories in quarter four were reduced by $24 million, by $11 million in raw materials and by $13 million in WIP and finished goods. In 2012, the inventories net of exchange rate impacts decreased by $13 million for the most part in raw materials. Our capital spending in 2012 was $150 million, $77 million for expansion, $17 for cost reduction and $56 million for the maintenance of business and EHS. Main expansion projects were for leading product like MOSFETs, Trench diodes, metal strip resistors, power inductors and film power capacitors. For 2013, we expect capital expenditures of approximately $165 million, following the midterm requirements of our growth plan. We generated in 2012 cash from operations of $287 million versus $376 million in 2011, and generated in 2012 free cash of $147 million versus $210 million in 2011. I think we can say that Vishay remains a very reliable generator of free cash, also in economically more difficult times, despite a fairly stable level of CapEx for the benefit of internal growth. Now, to come to our most important product lines, I will start with resistors and inductors. Vishay's traditional and most profitable business continue to be negatively impacted by the economic slowdown, mainly in Europe. We enjoy a very strong position in the industrial and mid-markets and start to intensively penetrate the medical segment. Sales in the quarter were $152 million, which is 7% below the prior quarter and 10% above prior year, when excluding the impact of HiRel, it was 1% above prior year. The book-to-bill ratio was $0.94, like in prior quarter, which kept backlog at a quite normal level of 2.8 months. Gross margin was 29% of sales, which is down by 3% from prior quarter, mostly due to lower volume. We have seen modest price decline, 0.7% versus prior quarter, and 2.5% decline versus prior year. We have seen some price erosion from an unfavorable customer mix. Inventory turns for resistors and inductors were at quite excellent 4.5. Acquisitions in the filed of specialty products Huntington and HiRel continue to be successful, ahead in 2012 sales of $62 million at a gross margin of 31%. And we do have confidence in further growth potential and also in our ability to acquire further specialty companies. Talking about capacitors, this business at Vishay is based on a broad range of technologies with a strong position in European and American market niches. It currently suffers from relatively high inventory levels at distribution in combination with some economic slowdown in particular in renewable energies. Sales in the quarter were $107 million, which were 6% below prior quarter and 10% below prior year. The book-to-bill of capacitors in quarter four was 0.93, after 0.87 in the prior quarter, which leaves the backlog at a normal level of three months. Gross margin in capacitors was at 18% of sales, which is down by 4% versus prior quarter, due to lower volume and some temporary inefficiencies. Selling prices remained fairly stable at capacitors, down by 0.8% versus prior quarter, and down by 1.4% versus prior year. Inventory turns were 3.2. We do remain confident for the midterm in view of increasing power in green energy applications for our capacitor portfolio. Talking about Opto. Vishay's Opto business consists of infrared sensors, couplers and LEDs, mainly for automotive applications. It contains a substantial share of customer defined products, mainly sold to automotive and industrial markets. The business shows stability. Sales in the quarter were $50 million, which is 1% below prior quarter and 2% below prior year. Book-to-bill was 1.03, after 0.95 in the prior quarter, and the backlog remained at normal 3.1 months. The gross margin improved by 2% to a very satisfactory level of 33% of sales, also due to a better product mix. The inventory turns were quite excellent at 5.3. We have seen a somewhat accelerated price decline at up to 2.1% price decline versus prior quarter, and 3.1% versus prior year. Diodes; Diodes represent a broad commodity business, where we are the largest supplier worldwide. Vishay offers virtually all technologies as well as the most complete product portfolio, and we are leading in particular, in power applications. Business also in the fourth quarter suffered from low sales in Asia, namely to distribution. Sales in the quarter were $117 million, which is 7% below to prior quarter, and 8% below prior year. Book-to-bill at Diodes was 1.01 in quarter four, after 0.88 in the prior quarter, while this kept backlog at a quite normal level of 2.8 months. It also seems to indicate some return of confidence especially in distribution, which we now feel is even stronger in the first quarter. The gross margin was 17% of sales, after 20% in prior quarter. It was negatively impacted by low volume and an inventory reduction. The inventory turns were at 4.4 and we have seen quite a normal price decline of 1% versus prior quarter, and 3% versus prior year. Last, but not least, the MOSFETs. Vishay continues to be one of the market leaders in the segment of low-voltage MOSFETs. The predominantly Asian business with customers in computers and phones, continued to be hurt by the economic slowdown and too high distribution inventories. Sales in the quarter were $104 million, which is 16% below the prior quarter and 5% below prior year. The book-to-bill ratio was 0.9 versus 0.7 in the prior quarter. The backlog is at normal 2.8 months. Gross margin was 10% of sales, 4% points down from prior quarter, mainly due to lower volume. The inventory turns were 3.7. We have seen a very substantial price decline in MOSFETs, minus 4.1% versus prior quarter and minus 15.6% versus prior year. The qualifications of our new generation of high-voltage MOSFETs are ongoing. They are received well by the market, but industrial segment is currently weak, which does not help of course. Still we are very confident that this will be an interesting new segment for Siliconix. Let me summarize. 2012, clearly has been a rough year for Vishay and our industry. We continue to be exposed in a major way through the ups and downs of the worldwide economy. On the other hand, Vishay also in 2012 clearly pursed its targets. We have continued to demonstrate our doubled earnings potential after the major restructuring efforts in the years 2008 and 2009, our business model indeed works. We proved another time to be a reliable generator of free cash, reacting quickly and efficiently to changes of our environment. We have taken steps to implement our growth plan, the targets, at increasing earnings per share; by expanding manufacturing capacities in critical lines, managing the lead times; by continuing to strengthen our R&D and designing efforts, developing and marketing more new products than ever; by expanding our sales presence in Asia, namely in china. We demonstrated our commitment to shareholder value, also by implementing another stock buyback program. We enter 2013 with full confidence in the strengths of Vishay, expecting and improving economy through the year with the world economy becoming less erratic. Based on current order trends, we for the first quarter 2013, guide to a range of sales of between $520 million to $560 million and higher gross margins. Thank you very much.
Peter Henrici: Thank you Dr. Paul. We will now open the call for questions. Operator, please take the first question.
Operator: Your first question comes from Steve Smigie
Steve Smigie - Raymond James: I was hoping if you could talk a little bit about the book-to-bill as we look out here into January, obviously, a very good number. Is this just build ahead of Chinese New Year or do you think orders can have strength throughout the quarter?
Gerald Paul: First of all, it came in much stronger than we internally have anticipated. And indeed it's quite broad. It's coming from everywhere, so to speak, not only from Asia. But of course, what you mentioned has some contribution to it. No question about it. We see also really improved order rates from distribution and from EMS. But we have realized, especially in the last two to three weeks, two weeks more than three weeks, a substantially improved environment, relatively broad, but as I said, driven by distribution and EMS.
Steve Smigie - Raymond James: And is there other particular end-markets that are seeing strength?
Gerald Paul: As I said, this distribution is somewhat anonymous. So it is in general a better situation, I think. There's more optimism, more confidence in the customers.
Steve Smigie - Raymond James: So if distribution is generally going to be more industrial weighted, say, you've got more orders for MOSFETs or something that will be more direct?
Gerald Paul: Yes. That is true what you say. Automotive always was strong throughout the year. So it's really the industrial for the most part, you're right.
Steve Smigie - Raymond James: And have you seen the Chinese buyer of the high-end automotive or high-end autos come back?
Gerald Paul: Not really. I do not have this information in detail at this point. So we have seen it's predominantly as I said from distribution and EMS.
Steve Smigie - Raymond James: Let's just take one more in. Just in your presentation, it looks like you twitch something your internal assumptions a little bit. R&D and engineering costs goes from 7 to 6; G&A goes from 2 to 3; fixed cost 4to 3. Could you go through those a little bit? And what those changes mean?
Gerald Paul: You mean vis-à-vis our growth plan?
Steve Smigie - Raymond James: Yes.
Gerald Paul: Well, it's somewhat small. So as a matter of fact, it's not a new strategy, which we follow here. It's just somehow different numbers. It's more rounding than anything else as a matter of fact. This is not a change of direction. In fact, I feel that we really do what we say. This increase of technical personnel at the cost of administrative personnel was our plan. And that's exactly what has happened, but no change in direction, nothing to interpret really.
Operator: Your next question comes from Christ Danely.
Sameer Kalucha - JPMorgan: This is Sameer Kalucha calling in for Christ Danely. My question is on the inventory side of things. How does it compare with the bottom that you guys saw in 2008 and '09 downturn? And then extrapolating that if this is kind of like an inventory snapback, which is maybe pointing to order strength, do you see any signs of or any potential for lead time extending over to next quarter or maybe over to summer?
Gerald Paul: If the order rate continues like that, we for sure will see longer lead times. We will do the best to minimize it. We have to put in more capacity, as you know, it's part of our growth plan. And we will try to minimize it. Too long lead times don't help anyone and especially for us, it's also a lost business. So we will try to manage it. But it's normal. If things should heat up too much, then by nature of things, we are going to see longer lead times again. The inventory level today is not as low as it has been according to my recollection of as low as it has been at the loop point of peak sizes. So it's still in the more regular form, but it has regulated down quite nicely. So we have it a moment, I think they will know what they do in order to ordering more.
Sameer Kalucha - JPMorgan: And then you mentioned pricing in Q4 certainly saw a decline, which is maybe a little bit more than normal. How do you expect pricing to evolve during that year? Do you see it seeing more pressure or it stabilizes?
Gerald Paul: I mean, we are really talking about the MOSFETs in our case. They have really seen that by far the highest price decline. The passives just as were customary mix related or something close to that. So we are really talking to MOSFETs. Of course, the MOSFET situation in the market hasn't been really nice in the quarter four. And as us also hear, orders are coming back. I would suspect that also the price pressure will go down as we go forward.
Operator: Your next question comes from Shawn Harrison.
Shawn Harrison - Longbow Research: Just the incremental gross margin for the fourth quarter was, I guess, a little bit outside your range. Was that solely because of the pricing dynamics in the quarter or was there anything else at work?
Gerald Paul: Absolutely, you're right. It was the pricing. It was really not for the fixed cost as you can imagine, it was for the pricing. And you know we work our way back always through cost reduction and innovation. But if prices drop in such a form then you see short-term impacting then. And then we fight it by cost reduction and innovation. Long term we were able for many years to hold the range between 48% and 46%.
Shawn Harrison - Longbow Research: And then as a follow-up, I know last quarter you had talked about looking at a potential transaction within Europe. Maybe if you could just discuss the M&A environment in terms of I guess the primary use of your cash flow in '13? And maybe other things you're looking at as well?
Gerald Paul: So nothing has changed, in fact we want to follow our strategy. And the strategy is to acquire specialty mid-size smaller companies. And in that sense, indeed we are negotiating since quite sometime. In Europe, we won a specialty resistor house, smaller acquisition, mid-size acquisition as you like. But it's Europe. And it's slower here. It takes more time somehow, but we have decided into this direction and for sure, we will continue. The market itself, in an upturn normally is not as good as in the downturn. So we see chances, but this is the concrete one I was just talking about in Europe.
Operator: Jim Suva.
Jim Suva - Citigroup: Dr. Paul, in your prepared comments, in the press release as well as in the conference call, you gave some very appreciated sales guidance. And then you mentioned gross margins to improve. Just so I can get that correct, I assume you mean, improved quarter-over-quarter?
Gerald Paul: Yes.
Jim Suva - Citigroup: But then my question is if that is true, what about year-over-year because it looks like now you're getting back to the same year-over-year sales levels. So should we be expecting gross margins to go back to that higher level or if not, why?
Gerald Paul: Jim, it's really like that. It's a matter of volume. Our business model works as soon as volume comes up. We have not added fixed cost as you know. And the variable margin will come back and that is very close to the range, anyway. But will improve as we put move innovation in. Its first quarter was really a certain drop of prices, kind of. It was not quite normal. So we expect more stabilization and we believe that we are going to be back, given the volume to the margins we had before.
Operator: Your next question comes from Matt Sheerin.
Matt Sheerin - Stifel Nicolaus: Most of the key questions were asked, Dr. Paul, but just again on distribution. You had talked about point-of-sale being I think down 9% sequentially. But was your sales' into distribution on a sequential basis down in the fourth quarter?
Gerald Paul: It was substantially down. It was down more than the 9%.
Matt Sheerin - Stifel Nicolaus: And the book-to-bill also in distribution, what is it at now?
Gerald Paul: In January, it came up nicely. It came to the quite positive levels.
Matt Sheerin - Stifel Nicolaus: And beside from that segment, which is obviously very big, are you seeing more stable orders from the OEM and EMS customers?
Gerald Paul: It's too early to talk like that, I would say. It's really mostly from EMS and the end-distribution. The sequence distribution and EMS. Automotive, there's no change. They have been strong before. But I think, one of the question before was related to that. As soon as distribution comes up, I think we can expect industrial to come back, which would be very important for Vishay, as you know.
Matt Sheerin - Stifel Nicolaus: And On Siliconix net gross margin levels, number is obviously very weak. And I haven't seen it there in quite a while, and I know some of the end-markets that segment serves is weak. Do you expect just a gradual recovery in that business?
Gerald Paul: It also grows with the rate of volume. We all know that the notebook market at the moment is depressed, and it maybe remains depressed. But our ambition is to be stronger in high-voltage. We are working on it. We expand our share in automotive. So we are working against this negative of notebooks. And I am absolutely sure that Siliconix is going to come back to decent profitability levels. We are running at very low volumes at the moment.
Matt Sheerin - Stifel Nicolaus: And if you can get that number to us, that would be great.
Gerald Paul: 11% down, I just got it.
Operator: There are no further questions. I will now turn the call back over to Mr. Henrici for closing remarks.
Peter Henrici: Thank you for your interest in Vishay Intertechnology.
Operator: This concludes today's conference call. You may now disconnect.